Operator: Good day, and thank you for standing by. Welcome to the OGE Energy Corp. 2024 fourth quarter earnings and business update call. At this time, all participants are in a listen-only mode. After the speaker's presentation, there will be a question and answer session. To ask a question during the session, you will need to press star one one on your telephone. You will then hear an automated message advising your hand is raised. To withdraw your question, please press star one one again. Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Jason Bailey, Director of Investor Relations. Please go ahead.
Jason Bailey: Thank you, Didi, and good morning, everyone. Welcome to our call. With me today, I have Sean Trauschke, Chairman, President, and CEO, and Chuck Walworth, CFO and Treasurer. In terms of the call today, we will first hear from Sean, followed by an explanation from Chuck of our financial results, and finally, as always, we will answer your questions. I'd like to remind you that this conference is being webcast and you may follow along at oge.com. In addition, the conference call and accompanying slides will be archived following the call on that same website. Before we begin the presentation, I'd like to direct your attention to the Safe Harbor statement regarding forward-looking statements. This is an SEC requirement for financial statements and simply states that we cannot guarantee forward-looking financial results, but this is our best estimate to date. I'll now turn the call over to Sean for his opening remarks.
Sean Trauschke: Thank you, Jason. Good morning, everyone. Thank you for joining us today. It's certainly great to be with you. 2024 was an outstanding year for the company, for our customers, for employees, and for your shareholders. I'm excited about our message to you this morning as our consolidated earnings results for 2024 were above guidance. The momentum we build continues to accelerate, establishing a higher base for growth going forward. Some of our top accomplishments for the year include adding more than 10,000 customers, continuing to see a drop in our SAIDI numbers as our grid strengthening efforts deliver value for our customers, replacing one of our largest substations ahead of schedule, alleviating congestion in one of the SPP's most congested areas. We have nearly 450 megawatts under construction at Horseshoe Lake, which incidentally also celebrated its centennial this year, as did Muskogee. We have another 100 megawatts under construction for Tinker Air Force Base, coming online next year to coincide with the base expansion in 2028. We've continued to enhance the self-service tools like our mobile app and website so customers can do business with us 24/7. We continue to use automation and AI to gain efficiencies and reduce costs, further improving that customer's experience. And finally, another incredibly strong safety year. Our safety culture underpins our entire organization, and I couldn't be more proud of our team for putting safety first. Turning to 2024's financial performance, this morning, we reported consolidated earnings exceeding the top end of our guidance of $2.19 per share for the year, including $2.33 per share for the electric company, and a loss at the holding company of $0.14. Our sustainable business model continues to provide opportunities while simultaneously strengthening the grid for many years to come in ways that smooth the customer impact and deliver consistent financial returns. We're laser-focused on reliability, growth, and affordability. And I know sometimes I sound like a broken record, but history proves that we do what we say we'll do. The investments we make deliver results, build these communities, and present a deep and diverse set of opportunities for us to pursue. Chuck will detail our financial plan going forward as we build on our strong financial base and credit metrics, and the momentum of our excellent load and customer growth to deliver the safe, reliable, resilient electric service that our customers expect. On the regulatory front, a constructive regulatory environment enables us to support growth, serve customers, and achieve results. And by midyear in Oklahoma, we will file for both recovery of our plans to meet generation needs and a general rate review. And at year-end, in Arkansas, we'll file for a general rate review and a formula rate plan as we have in the past. The advantage of our low rates combined with the overall economic strength of the communities we serve led to the exceptional load growth of 7.6% for 2024. Oklahoma City and Fort Smith unemployment rates beat the national average, and our hometown Oklahoma City's unemployment rate of 2.8% clocks in as the sixth best for large metropolitan areas. The strength of these communities drove our 1.2% increase in customer growth. On the commercial side, load growth is diversified among a number of industries, including multi-unit housing, defense, and manufacturing. And I can't overstate these projects are the result of our multiyear effort to drive economic growth in both Oklahoma and Arkansas, partnering with communities to land new business relocations and expansions. Alongside the commercial growth comes the people who support those businesses, and our residential load grew by 2.4% in 2024. I understand there's a lot of excitement about data centers, and rightly so. And we are very excited about this opportunity. But I want to be clear that our load growth in 2024 and forecasted for 2025 is without any data centers. While we remain optimistic about these opportunities, and we're still in discussion with a number of potential projects, we'll certainly update you when we can. We remain committed to growth for our communities and for our customers. In the case, Progyny is strong, and I'm certainly bullish on our future. We're leveraging the economic development engine we built that's driving this load growth. Our excellent operational execution is driven by a fully engaged set of employees who are determined to reach that North Star, delivering safe, reliable, safe, affordable electricity for our customers. And we operate in constructive regulatory jurisdictions. We've created a competitive and credible financial plan backed by a balance sheet. It's one of the strongest, and all of which leads to a long-term plan where we address system growth and customer needs. And today, we're setting a guidance midpoint for 2025 that is 7% higher than a year ago. Because of the proven and anticipated low growth, we expect to continue to grow 5% to 7% annually from this new midpoint. Next week, OG&E will celebrate its 123rd birthday, and we'll celebrate by investing in the grid and generation in ways that allow us to meet customer demand for electricity, grounded in improving reliability and maintaining those low rates. As we achieve our commitments to you. Thank you. And I'll now turn the call over to Chuck.
Chuck Walworth: Thank you, Sean, and thank you, Jason, and good morning, everyone. I'm pleased to review our outstanding 2024 financial results with you, introduce our 2025 financial outlook, and discuss our long-term earnings growth guidance. Let's start on slide six and discuss full-year 2024 results. Consolidated 2024 net income was $442 million or $2.19 per diluted share, compared to $417 million or $2.07 per share in 2023. 2024 was yet another year of great execution by our dedicated members and a reflection of the health of our growing communities and the constructiveness of our regulatory jurisdictions. We began the year expecting consolidated earnings of $2.12 per share. Throughout the year, we experienced stronger than forecasted load growth, as well as a warmer than normal summer. We updated our expectations by pointing to the top of 2024's EPS guidance range. We exceeded expectations and closed the year $0.07 above our original midpoint. In our core business, the electric company achieved net income of $470 million or $2.33 per share compared to $426 million or $2.12 per share in 2023. The main drivers of the year-over-year increase in net income and higher operating revenues were driven by the recovery of capital investments. The holding company reported a loss of $28 million or $0.14 per diluted share in 2024 compared to a loss of $10 million or $0.05 in 2023. The increase to net loss was primarily due to higher interest expense and lower net other income. You can find fourth-quarter results in the appendix. Now let's review our 2024 load results by turning to slide seven. Our customer growth was strong, finishing at 1.2%, as we continue to attract new business to our service area. Our weather-normalized load growth was truly exceptional at 7.6%, the largest annual weather-normalized load growth in my almost 25 years at the company. The strength was across all customer classes, with commercial leading the way with an extraordinary 21.4% annual growth. I'm especially excited to see the 2.4% growth in the residential class as it follows and reinforces all the growth we are experiencing across our system. As you will see, we expect our total load to continue this trend into 2025. Stepping back for a moment, our performance in 2024 isn't new, and we expect it to continue. We charted a path years ago when we focused on growing the electric company by growing our load with attractive lower rates and higher quality service, building an economic development engine, and focusing on our cost structure. Since then, we've built a track record of performance. If you look where we plan to be at the end of 2025, compared to the past ten years, we will have managed to keep O&M per customer growth at less than 1%, rates at some of the lowest levels in the nation, low growth at a compound annual 2.2%, all while investing more. Our five-year capital plan has more than doubled. Our balance sheet is strong. Our dividend has grown at a compound annual rate of 5%. And our consolidated earnings per share, excluding Midstream results, has grown at a compound annual rate of approximately 6%. These are real results. Let's turn our attention to the details for the 2025 plan on slide eight. Building on the load growth tailwinds in 2024, we have developed a financial plan that sets consolidated earnings at $2.27 per share with a guidance range of $2.21 to $2.33. We're setting the 2025 midpoint 7% higher than 2024's original midpoint. In addition, we are now basing our long-term annual EPS growth rate of 5% to 7% off of this higher 2025 midpoint and extending it through 2029. We are pleased to be able to deliver results for our customers and base future earnings expectations off a higher level. Looking at load, quarter to quarter, or near-term forecasting, can be challenging, especially when dealing with larger loads that may accelerate or delay coming online. That being said, we expect 2025 to be another year of exceptional weather-normalized growth of 8.5% by year-end, adding to the last four years of historically strong load growth. We believe 2025 sets up well, and we can achieve our goals based on the operational execution of each one of our members. Financial plan objectives include maintaining our competitive low-rate advantage by focusing on our cost structure, managing the regulatory process by minimizing the time between investments and the return and recovery of the investments, and growing OGE by maintaining a highly credible total return proposition for our shareholders. Turning to slide nine, the strength of our balance sheet, which is one of the strongest in the industry, we continue to forecast FFO to debt of approximately 17% throughout the forecast period with no need for external equity issuances other than a modest annual drip. We have no fixed-rate maturities until 2027. We anticipate a long-term debt issuance at the electric company of up to $350 million in the first half of the year. We rolled forward our five-year investment plan to 2029, increasing the plan by $250 million. Sean spoke to the important items we will work on in 2025, including generation capacity associated with the 2024 IRP and system projects. We will communicate our plans, including financing, with you after we receive the appropriate approvals. In my closing remarks today, I would like to leave you by expressing my confidence in our financial plan. We believe we have built a credible 2025 financial plan that exceeds the expectations set out just a year ago when we introduced our first pure-play consolidated growth rate guidance. Our confidence in the financial plan extends beyond 2025, and that is reflected in basing our 5% to 7% expected annual growth rate off of a higher 2025 EPS midpoint. The strength of our plan this year allows us to continue to focus on the future and address the investments required to meet the electric demand of our growing communities. Our confidence remains based on the belief in the dedication of our employees and their ability to get the job done. That concludes our prepared remarks. I will now open the line for your questions.
Operator: Thank you. As a reminder, to ask a question, please press star one one. Our first question comes from Durgesh Chopra of Evercore ISI. Your line is open.
Durgesh Chopra: Hey. Good morning, team. I'm impressed. I got the first question.
Sean Trauschke: Hey. Okay. So good morning, Sean. Chuck, congrats. This is your first earnings call as officially appointed as Look forward to working with you. But two questions, two questions for me. First, Sean, great update today. There's a lot of debate in the market on, you know, what this data center opportunity might mean for you. We've certainly tried to put our, you know, kind of megawatts that we think might come out of this. Maybe can you address that? Just any color you can share around the megawatts needed. I understand it's gonna be over a long period of time, but what you're seeing in the pipeline, just high level, and then, in particular, talk to the Stillwater opportunity, and what could that mean. And just what what what to look for there? Thank you.
Sean Trauschke: Yeah. Very good. Thank you for for the questions there, Duresh. So a couple of things. Unfortunately, we are prohibited from talking specifics about the Stillwater opportunity. And so that has not changed. So I need to pass on that one. As we think about the data center set we've characterized it as probably opportunities in the 250 to 500 megawatt range across a half a dozen or so opportunities that we're in discussions around.
Durgesh Chopra: Awesome. And just to be clear, that's 250 to 500 megawatt each opportunity. Right? And your two context is, you know, half a dozen I've
Sean Trauschke: Yeah. I think that's what we've said previously, and and and recognize that that's that's not a forecast. We could we can't guarantee we're gonna get all those, but we might get more. So that's what we're dealing with right now.
Durgesh Chopra: Excellent. Just one housekeeping question. You didn't address the dividend. I'm sorry if I missed it, but just how should we think about dividend growth in the context of your EPS growth? If you could just just talk to them. I apologize if I missed it and you did.
Chuck Walworth: Yeah. So so, you know, really no no change in messaging there on the dividend. We've been pretty consistent in terms of know, the growth that we've addressed with that over the past couple years. And, you know, again, just know, I'll point you to you know, the language in our ten k around dividend payout. So that remains our goal to be in that that 65% to 70% payout area.
Durgesh Chopra: Excellent. Thank you again. Appreciate the time.
Sean Trauschke: Thanks. Have a great day.
Operator: Thank you. Our next question comes from Shahriar Pourreza of Guggenheim Partners. Your line is open.
Konstantin Lednev: Hi. Good morning, team. It's actually Konstantin here for Shahriar again. Grade 2024.
Sean Trauschke: Hey. Thank you, Konstantin. Good morning. Hope you're well and please pass along to Shahriar that Didi nailed his name.
Konstantin Lednev: Will do. Will do. Just maybe starting off on the 2025 expectations and guidance. You you know what are the seven and a half to nine and a half percent low growth, which is a step up versus kind of the prior long term assumptions that you had of greater than one percent. So that would point to some level of accretion But maybe can you refresh us on the EPS sensitivity versus low growth and maybe any other offsets that you're embedding in twenty five like regulatory lag or any other?
Chuck Walworth: Sure. Chuck, you wanna do that one? Yeah. Konstantin, you know, We we really are hesitant to give out sensitivity on on low growth at EPS and and, you know, just given the the wide composition of rates within that But, you know, that being said, if you look at slide eight, on the on the the deck that we put out today, you can see how much that we're attributing to load growth across all classes you know, and so then you can kinda do the math between that and the the seven and a half to nine and a half percent. So that that kinda should give you an idea But again, you know, I I I feel only appropriate to put a little caveat on that. Oh, and then then your other question on on regulatory on as as Sean said. By the by midyear of this year. And, obviously, this load growth is is doing a lot to help mitigate any lag in between cases.
Konstantin Lednev: Okay. Perfect. Understood. And kind of with the just more broadly with the second tier of high single digit low growth. How does that compare versus the IRP assumptions? And does the low growth require any interim solutions from an energy and resource adequacy standpoint, and any emergency in twenty five to as we see kind of the reserve margin start seeing some pressure.
Sean Trauschke: Yeah. Good great question. And we're in we're in pretty good shape. But certainly, we're continuing to as we're negotiating the results of the RFP process, and working through that process. We're we're updating that for you know, current results. And as well, we'll certainly consider that, but Nothing. Nothing of concern right now.
Konstantin Lednev: Okay. And any any cadence of updates there beyond the r e time frame that you put out in terms of putting any kind of numbers behind the Yeah. So we're
Sean Trauschke: yeah, we're going to file what we said. We're gonna file midyear. For recovery of that for our generation plans. And In under Oklahoma, the statute allows for a two hundred forty day period of So when we get the requisite approvals there, we will layer that in. In terms of the capital expenditures. And our financial plan. How we will finance that. Just to kinda reiterate what we've said previously, it is our intent to own these assets. We may have to bridge a little bit of it know, a year or two just to kinda get through as we're construction constructing these. But it is our intent to own the majority of these assets. And you know, I'll tell you, Walking into this call, it's it's one degree. Here in Oklahoma City with the minus eighteen wind chill. And schools are closed. There's ice and snow all over the roads. But the lights are on. And I have a lot of confidence in the men and women of our company to kinda do that and That that drives a lot of our thinking around owning these assets.
Konstantin Lednev: Perfect. That's Great method. Thanks for taking the questions.
Sean Trauschke: Thanks, Konstantin. Have a great day.
Operator: Thank you. Our next question comes from Nicholas Campanella of Barclays. Your line is open.
Nicholas Campanella: Hey. Good morning. Sounds like you got some northeast weather down there, so hope you're staying warm.
Sean Trauschke: Yeah. It works. Yeah. We gotta get tougher here about this winter weather.
Nicholas Campanella: Well, hey. I appreciate the time. You know, just wanted to ask, when you think about serving these potential data center customers, the capital requirements that are gonna come from that, the potential to invest in new generation, are you kinda thinking about your position within the supply chain It just seems like there's been just general tightness across turbines and and and general availability there. So just wanted to see if do you have visibility to be able to kinda deliver on a generation solution for new customers that are outside of the plan within this decade?
Sean Trauschke: You know, I think that's certainly know, what we're looking at. We were fortunate to have this RFP process, you know, underway. So we've we've got a good visual of of what is available in in certain timings. So we feel pretty good about that. And, you know, you what we see today, we feel pretty good about. You know, if if we were fortunate to get a lot more, know, we'd have to take another look at that. But what we see in front of us and what we're anticipating, we feel pretty good about.
Nicholas Campanella: Okay. And then just putting you just a finer kind of time line on when we can expect the the next updates, just when do you think we would expect to hear about whether or not you'd win one of these new data center customer contracts. Is it just gonna be a one off press release? Are you trying to deliver something by the you know, the back half of this year? How would you kind of frame The timeline?
Sean Trauschke: Yeah. Great question. And my expectation is this may not be our press release. This may be somebody else's. And and obviously, we would we would communicate about that then. And then where we so we're not We're not trying to time anything if that was your question. And then the second point is obviously, we would have some sort of capacity to satisfy that new load. And you should expect us to kinda make the requisite filing with the commissions and get that cleared up. And then Chuck will explain exactly how we're gonna finance all those as well.
Nicholas Campanella: Okay. And and that's that's something that sorry. That's something that would you you think happens in the in the first half of this year, or you're just not putting the timeline on it at this
Sean Trauschke: Well, we are gonna so two two comments or two two pieces of this. We're gonna file the results of our generation RFP that are out there. We're gonna do that by mid year. And we would certainly it would be nice if we had something if there was going to be a data center in inclusion in that, then we had that in there too. If it doesn't work out, we've got to move forward with these RFP results We'll file that. We may have to come back later and do a subsequent file. For data center. That helps?
Nicholas Campanella: That's very clear. Thank you very much.
Sean Trauschke: Alright.
Operator: Thank you. Our next question comes from Julien Dumoulin-Smith of Jefferies. Your line is open.
Julien Dumoulin-Smith: Hey, team. Thank you again for the time Stay warm, guys. Stay warm. And maybe to pick it up from where where Nick was left it off there, frankly, can you speak a little bit to what you're seeing in terms of the the total quantum of of RFP, I of out of that RFP, whether, you know, at in sort of coincident with the initial RFP update, or in the back half at some point. How do you how do you frame the sort of the total scope of what that ARC he was able to procure? I e, you know, I I know when you launched this whole process, you weren't anticipating that since you have quantum of data center. Can you speak or or and or other load? Can you speak to what what, like, a max size on the RFP could be realistically or kind of any framing of sensitivities there?
Sean Trauschke: Yeah. Are you Julian, are you are you looking for the kind of the high end there? Are you contemplating this data center?
Julien Dumoulin-Smith: Well, look, I'm trying to understand to Obviously, the the low growth itself is dynamic. I understand that you can't necessarily get everything at the same time. I understand that when you launch this IRP slash RFP, you didn't necessarily contemplate this. So just, you know, obviously, you can up you can scale up the quantum of the RFP. But I imagine there's gonna be some realistic frictions of of what is palatable for you guys to procure.
Sean Trauschke: Yeah. And Set up. And yeah, I I think fair point, and and I get it. You know, also recognize we're kind of in the middle of negotiating those, so I don't really wanna tip my hand in any way, shape, or form, What I what I would say though is you know, we've been able and we anticipated this load growth. We've been able to kinda manage this within our current capacity constructs I'd also mentioned to you on previous calls where you know, we doubled down on our energy efficiency and domain response programs that has created a significant benefit I also mentioned that, you know, some of the crypto load that we have They do not really have a net addition to our capacity needs because they're on direct load control. So we have that benefit And then the last point is, you know, we're also continuing to evaluate and do upgrades to our existing facilities where we're squeezing You know, Yeah. Hundred megawatts or so of additional capacity there. So we're we're attacking this on all fronts. To make sure that when we do finalize the RFP, Julian, we're getting the very best deal. But I I wanna be I wanna be Really careful there because we are in the middle of negotiating those agreements. I don't wanna jeopardize that.
Julien Dumoulin-Smith: Yeah. I I understand it's a very dynamic situation. You got I gotta try at least to ask. Maybe just to speak on the other side of that. You know, I'm just I've been trying to figure it all. Way. We we oh, we we're always gonna try. Right? Yeah. But maybe on a timing perspective. Right? Because what you go back and issue another RFP because again, the scope of this RFP just didn't contemplate the total megawatts ultimately. How do you think about the, like, a subsequent RFP filing? How do you think that, you know, what that would lead to to reconcile with some of the timelines? I mean, I'll I'll note, for instance, this still water dynamic, for instance, could be kind of a twenty seven time frame. For what I can tell. Like, could you swiftly issue another RFP? Are you guys getting ready for that here potentially?
Sean Trauschke: Yeah. I mean, I think we've gotta be we've gotta be prepared to do that. I think that's a a very real situation there is is things develop and you use the word dynamic, it's it's dynamic. And, you know, to the extent that we have you know, significant changes in how we see the future, we would do a a new IRP. And I I think we should be prepared to do that.
Julien Dumoulin-Smith: Got it. And then lastly, just quickly at the legislative front, given how dynamic the situation is and given the scope of what would be contemplated here, how about any conversations this year in terms of formulary or otherwise if you can speak to that a little bit.
Sean Trauschke: Yeah. I I think That's great. You know, Yep. So on the legislative side, in terms of formula rates or performance-based rate making or something like that, We we achieved our objective there in terms of education. Think everyone's fully aware and educated now. We always recognize that all all roads lead through the commission, And so, you know, we're going to we've gotta a heavy a heavy agenda this year, but we're gonna find the opportunity to make a filing there for formula h at the commission.
Julien Dumoulin-Smith: Alright. That guys. I'll leave it there. Best of luck. Alright? Nice to be done. Thanks, Julian. Take care.
Operator: Thank you. Our next question comes from Anthony Crowdell of Mizuho. Your line is open.
Anthony Crowdell: Hey. Good morning, Sean. Good morning, Chuck. Again, congrats, Chuck, on, I guess, your first I guess, I know it's full-time or non-interim call.
Chuck Walworth: Thanks, Anthony.
Anthony Crowdell: Good morning, Anthony.
Chuck Walworth: Good morning. Hopefully, a little easier than Julian's question. I I I didn't know where that was headed, but
Anthony Crowdell: I guess I could ask about the twenty four percent commercial logo that you're calling for. I'm wondering if you give any clarity or indication of just what percentage of your gross margin, if I think of in twenty five or if we wanna take another year, what percent of your gross margin will come from commercial Load.
Sean Trauschke: Chuck, you wanna tackle that one?
Chuck Walworth: Yeah. Sure. You know, maybe just take a step back and and look at you know, the results of of twenty twenty four where we really saw strong results across all categories. And, you know, really, I can't overemphasize you know, how, you know, how important that is to me that we're seeing growth across all those categories really showing the underlying strength of our service area. You know, within within commercial, You know, that that is a lot of that is know, crypto load, as Sean spoke to before that is, you know, really beneficial and that it doesn't require much incremental investment for us. On the generation side is is that's all on direct load control. Where we've got the proverbial button, so to speak. So you know, really really beneficial for our customers as a whole to have that, you know, that low cost to serve a kilowatt hours in there.
Anthony Crowdell: Great. And and then just one one follow-up, and and I apologize by Didn't hear correctly, but I believe that you're forecasting filing an Oklahoma rate case later this year. Just with with the strong low growth, obviously, the low growth should help spread out the cost, you know, you know, per kilowatt hour. Just if you could just indicate or directionally point to hyper percentage increase. I mean, I guess with this great load growth you have, my guess would be that the amount of increase would be a lot lower. And should the load not be here?
Sean Trauschke: I I think I think what you said is absolutely correct. You should expect the load growth to mitigate this and know, that's what we're trying to do is we're trying to keep these impacts small and not do anything that disrupts the the the overall load growth or viability of the economy. And so Depending on when we time when when we make the filing and what is in that test year. But so I don't have an exact percentage for you today, but safe to say, you you are exactly right. The load growth is going to mitigate the impact of customers.
Anthony Crowdell: Great. Love the slides. A lot of detail there. Appreciate appreciate you taking my questions.
Sean Trauschke: Thanks, Nathan. Have a great day.
Operator: Thank you. And our next question comes from Aditya Gandhi of Wolfe Research. Your line is open.
Aditya Gandhi: Hi. Good morning, Sean, Chuck, and Jason. Hope you're doing well. Thanks for taking my questions.
Sean Trauschke: Hey. Good morning, Mitch.
Aditya Gandhi: Just to just to start off maybe on load growth, can you you just remind us what you're baking in for long-term load growth beyond 2025? Is it still at least two percent and, laterally, on data center, Sean, I appreciate you said you can't comment on still water, but any color you can give us on the core scientific data center near near Muskogee at at this point?
Chuck Walworth: So I'll start off on the, you know, long-term load growth. I mean, you know, again, we mentioned you know, last year was the fourth year of historic load growth that that we've had. And, you know, we're essentially rolling that forward into this year with, you know, really our strongest load growth guidance ever. So that's, you know, that's really super exciting. You know, going forward though, you know, we don't expect really a change in the the backdrop, the fundamentals that are are leading to where we are today. So I think we're comfortable continuing to say, that we're in that two percent, two percent plus on a long-range area. But, you know, the extent that we have events that move us upward from that, know, that kinda gets to those you know, some of those press releases that Sean spoke about earlier. And, you know, we can give more more color and flavor at that time. But, you know, I think for now, you know, you should take away you know, very you know, very positive positive message around know, the fundamentals of of where we have been for many years now.
Aditya Gandhi: Okay. That's helpful. And
Sean Trauschke: And in addition, just to to be clear, there's there's really not anything to add around the opportunity set in Muskogee. In terms of data centers. That's an active dialogue. And when we have something to communicate, we we're certainly gonna communicate that.
Aditya Gandhi: Okay. That that's clear. Maybe a lot of questions on the r but I I wanted to ask on another potential CapEx up upside that y'all mentioned last quarter regarding SP SPP ITP transmission. Could you just clarify whether that's included in the revised CapEx plan or not? And if not, when we can sort of expect to see movement around that CapEx?
Sean Trauschke: Yeah. That is not in there. That'll be included when we finalize the notice to construct. Later this year.
Aditya Gandhi: Okay. And last question for me. Appreciate all your comments around rebasing higher off of twenty five guidance. Sean, you also mentioned that you wanna be consistent in how you grow, but do you, at this point, feel comfortable sort of guiding within your five to seven percent growth rate just just given the exceptional load growth that you're seeing?
Sean Trauschke: Yeah. Hey. Anitja, I'm not sure. I got all of that. Could you restate the question?
Aditya Gandhi: Alright. Sorry. Yes. I I appreciate all the color around the updated five to seven percent growth rate that you already gave us prior of twenty five guidance. Just given the exceptional load growth, at this point, do you feel comfortable sort of Commenting on where you see the company tracking within that five to seven Yeah. I look. I think we're very I I'm really focused on that five years and then years beyond that continuing to grow at this clip. I I I don't wanna Good. In the kind of point it to one end or the other end for any particular year. I think what you're gonna see from us is a consistent achievement of five to seven over a number of years. And so we're gonna continue to run the business, Addiction, and we're this thing's been rolling for a number of years, and we want it to keep going.
Aditya Gandhi: Great. That that's helpful. For taking all my questions.
Sean Trauschke: Have a great day, Ditch. Take care.
Operator: Thank you. And as a reminder, if you have a question please press star one one. And I'm showing no further questions. I'd like to turn it back to Sean Trauschke for closing remarks.
Sean Trauschke: Thank you, Didi, and and well done today, Didi. You did a great job with everyone's names. So thank you for that. And for everyone on the call today, thank you. Thank you for your interest and your time this morning. And take care of yourselves and be safe out there.
Operator: This concludes today's conference call. Thank you for participating, and you may now disconnect.